Carolina Stromlid: Good morning, and welcome to the presentation of Tobii's Q4 2024 results. My name is Carolina Strömlid, and I'm Head of Investor Relations. We will follow the same procedure as usual. Our CEO, Anand Srivatsa; and our CFO, Magdalena Rodell Andersson, will give you an update on the operational and financial development in the quarter. After the presentation, there will be a Q&A session. [Operator Instructions] Anand, over to you.
Anand Srivatsa: Thank you, Carolina, and welcome again, everyone. Let's see if we can move the clicker over. Here we go. There we go. Perfect. A little bit of snafu in the morning, but it's only 9:00. Perfect. We ended the year on a strong note, delivering profitability of SEK 50 million. This is our best-ever EBIT as a company, and it included actually some one-off items, without which our result would have been even better. Looking back over the full year, I'm quite happy that we've made tangible progress towards our two main focus areas. The first was to demonstrate that we are on a path to profitability. And on a full year basis, we have shown that we have improved our EBIT from a full year basis compared to 2023 with a baseline of SEK 184 million to minus SEK 107 million on a full year basis. This, of course, has been supported by our cost reduction program that we announced in Q2, which has been a significant help for us to go and focus the company and support our profitability ambitions. The other big goal for us this year was to successfully integrate the AutoSense business. And largely at the end of the year, we are now complete with that endeavour, resulting in a much stronger combined road map, and we are starting to realize the synergies of the acquisition with a lower overall investment pace. On a Q4 basis, this is our seasonally highest quarter, and we continue to see strong net sales growth here, including in our Products & Solutions business. We saw the seasonal effects in Q4, but for this business and the Integration business, we saw weakness in year-on-year perspective. Magdalena will speak to those details more in the financial section. Finally, looking at our Autosense business, we continue to demonstrate our position in the space as a top 3 player and our ambition going forward to become the leader in the space. Looking back at 2024, we've seen continued growth in the number of vehicles on the road, good progress with our customer programs that are going to go into production in 2025 and 2026 and we, of course, shared a couple of new design wins that we've been awarded in Q4 '24. Now before we discuss the financial results in detail, I want to review the current Tobii organization. Tobii is organized in 3 business segments, and each of them are in slightly different phases in terms of maturity and scale. Our expectation is that our Products & Solutions and Integration business are more mature and much closer to profitability, whereas our Autosense business will continue to be in an investment phase for a couple of years. I'm glad to see that the results in Q4 '24 demonstrate the reality of where these businesses stand with both the Products & Solution and Integration businesses delivering profitable results this quarter. The Products & Solutions business delivers vertical solutions to thousands of customers, ranging from university labs to enterprises to PC gamers. In Q4, this business represented 50% of the overall net sales of the company and delivered a SEK 31 million EBIT result. The Integration business engages customers who utilize our technologies in their solutions. This segment also includes some revenue from our FotoNation acquisition from a legacy imaging business that will likely decline in 2025. In Q4 '24, this business represented 42% of Tobii's net sales, and this business was profitable for the third straight quarter. We expect the Integration business to continue on this profitable track going forward. Finally, the Autosense business sells driver monitoring systems and occupancy monitoring systems to automotive OEMs and Tier 1s. This business represented 8% of the revenue in Q4 and showed substantial quarter-on-quarter and year-on-year revenue growth. The result for this business was minus SEK 54 million in the quarter, but that included some one-off costs that Magdalena will speak to in our financial section. With that, let me hand it over to Magdalena to provide some more details. Magdalena?
Magdalena Andersson: Thank you, Anand. Yes. So here, we have 2 positive bubbles that is an EBIT of SEK 50 million and a total net sales growth of 11%. Then we have a third bubble showing an organic decline of 22%. Let's dig into these figures a bit more in the coming slides. So net sales grew with 11% in the quarter, while the organic growth was minus 22%. The total growth was thus supported by business related to the acquisition, most of which belonging to the Integration segment. This new business, as pointed out before, will decline when going into 2025. Year-to-date, net sales grew with 13%, and the organic growth was minus 16%. Gross margin in the quarter was 84% compared to 74% last year, where the increase was due to a shift mix in both between the segment, but also within the segments. Year-to-date, the gross margin was 80% compared to last year's 75%. And then we are happy to present an EBIT of SEK 50 million compared to last year's minus SEK 14 million. This year, we had one-off costs of SEK 24 million from severance costs when reducing personnel, meaning that the underlying EBIT was SEK 74 million. Last year, we had one-off costs from the AutoSense acquisition of SEK 31 million, meaning that the underlying EBIT then was SEK 17 million. And then comparing the underlying EBIT between the quarters means that we have an improvement with around SEK 60 million comparing SEK 17 million to SEK 74 million. Year-to-date, the EBIT was minus SEK 107 million compared to last year's minus SEK 184 million. This year, this EBIT is, of course, accomplished through many parameters, net sales being one since this quarter normally is the strongest one for Tobii from a seasonal perspective. However, this is not all there is. In addition, we continue to work on our cost reduction program. In Q2, we presented that we were to reduce our cash-related operational expenses with over SEK 200 million during a 12-month period when comparing with our baseline in Q2 2024. In Q3, the base was SEK 53 million lower in the quarter. And now in Q4, the cost base was SEK 20 million lower where, of course, the one-off cost of SEK 24 million hampered the reduction pace. During the second half of the year, we have thus lowered the cost with, in total, SEK 73 million, leaving a base of over SEK 100 million for the first half year of 2025, but the cost will continue to go out successively during the spring. And then going over to our segments. Products & Solutions had an organic decline of 18%. After a flat third quarter, the negative development from the first half year continued; this quarter, not addressable to a specific region, but rather as an effect of overall weakened demand. We are mobilizing in all aspects from offering and marketing to sales organization and go-to-market to secure improvements when going into 2025. Year-to-date, the organic decline was 15%. Gross margin in the quarter was 72% compared to last year's 68%. The deviation was mainly due to a mix effect. And year-to-date, the gross margin was 66% compared to 69% last year. EBIT in the quarter was SEK 31 million, yes, positive. And of course, this is a development in the right direction. Albeit this being our strongest net sales quarter for Products & Solutions, the development from Q1 to Q4 shows the effect of the cost reductions where the net sales has increased with around SEK 30 million from SEK 112 million to SEK 143 million. EBIT has increased with around SEK 50 million from minus SEK 23 million to SEK 31 million. Year-to-date, the EBIT was minus SEK 40 million. Integrations net sales grew with 47% in the quarter, and the organic growth was minus 31%. Net sales from the acquisition thus contributed very positively to this segment, which is according to plan. As previously communicated, this net sales will decline when going into 2025. Year-to-date, Integrations grew with 61% in total and minus 17% organically. The gross margin was 97% in the quarter compared to last year's 88% and 96% year-to-date versus 90% last year. These very high figures were also a consequence of the acquired net sales, which came with the high margin. The gross margin level should thus be expected to go back to 2023 year's levels again when entering 2025. EBIT in the quarter was SEK 73 million. Year-to-date, the EBIT was SEK 129 million. And then the Autosense segment had a sale of SEK 23 million in the quarter and SEK 49 million year-to-date. That is thus in the upper range of our previously communicated guidance of reaching SEK 30 million to SEK 50 million of net sales for the full year of 2024. With this, Autosense makes up 8% of Tobii's total net sales in the quarter and shows good progress quarter-on-quarter. Of course, the net sales can be somewhat lumpy going forward since most of the net sales consists of nonrecurring revenue rather than licenses. The gross margin was 99% in the quarter and 97% year-to-date, a level reflecting the high share of software. The EBIT was minus SEK 54 million in the quarter. Of the one-off costs this quarter, SEK 20 million stemmed from this segment, meaning that without which, the EBIT would have been SEK 34 million, which would then have been the best EBIT for the year and the second straight quarter of EBIT improvement. Year-to-date, the EBIT was minus SEK 197 million. This is a large number. And going forward, this segment will still be in an investment phase. But during 2024, the investments did reach its peak. Looking at the balance sheet. The free cash flow after continuous investment was minus SEK 14 million in Q4 compared to in Q1 to Q3, minus SEK 115 million, minus SEK 121 million and minus SEK 96 million. After the acquisition, we have had large cash outflows during the first 3 quarters since we added many new employees and not an equivalent amount of net sales. In Q4, we now see the effect of, of course, higher net sales, but also a real effect of the cost reductions that we have been implemented already. Going into 2025, more of the cost reductions will be visible, which will continue to affect the cash flow positively. Our cash and cash equivalents were SEK 160 million at the end of the quarter. And in addition, we have an unutilized revolving credit facility of SEK 50 million. So I've been talking a lot now about cost reduction as a means to strengthen the cash position, and let me elaborate some more of that and what we also are doing in addition. As mentioned earlier, we are on track with our cost reduction program, and the progress is reflected in our numbers. In Q4, we continued to implement and initiate several initiatives to improve cash flow and profitability. We are working with 3 buckets where we are evaluating our product portfolio regarding where to invest and where not to. We are organizing the total business to secure efficiencies, and we are securing and realizing synergies from merging the 2 Autosense businesses after the acquisition. In this work, we have now reduced the total number of heads when summing up both employees and consultants from around 900 at the peak earlier this year after the acquisition to around 600 now in Q1 2025. That is a reduction with around 300 or 1/3. We will now continue to work on these and additional measures, meaning that we will also see further effects in the second half of 2025. In addition to the absolute cost reductions here and now, the strategic review of the product portfolio also has another outcome, and that is an ambition to divest certain assets, which we believe has the possibility to be to our advantage from a cash position perspective going forward. And with that, over to you, Anand.
Anand Srivatsa: Thank you so much, Magdalena. Now I would like to share some additional insight with you on our Autosense business, why we believe that we are a top 3 player in the space and the progress that we are making to further strengthen our position in the market and move towards a leadership position. Now when we look at the interior sensing business and the technology landscape, we see that this landscape is very much an evolution. It starts with driver monitoring systems that have really been deployed due to safety regulations. We're starting to see increased deployment of driver monitoring systems driven by European Union regulations that will come into effect in 2026. The first major evolution in this market was moving from driver monitoring systems that are safety oriented towards occupancy monitoring systems, which have primarily been focused on delivering convenience and comfort features. The main driver for the adoption of these technologies is for OEMs to deliver a more differentiated experience for their customers. The next phase of the evolution, we believe, is the movement from discrete DMS and OMS solutions into a single-camera DMS and OMS solution that will enable OEMs to deliver to both the safety requirements that are mandated by regulation, but also enable them to deliver the differentiation that they would like to provide their customers as part of their brand promise. Single-camera DMS and OMS solutions will likely be deployed because they offer lower total cost of ownership to OEMs to deploy these solutions, meet the regulatory requirements in the areas they operate in, but also allow them to deliver the differentiation that they desire. Now when you look at how Tobii is doing from a DMS perspective, we continue to grow our footprint here with a couple of new design wins that we announced in Q4 this year. Today, we count 10 OEMs as customers of our DMS solutions and over 80 models. And we continue to see our DMS solutions get on vehicles on the road, which I will share with you in the following slide. Our big bet, of course, on the Autosense side is really our investment in single-camera DMS/OMS. We think this technology will be the future of large-volume interior sensing. And I'm very happy with the progress that we've made in 2024 as we get the design wins we have into production in 2025 and beyond. Our solutions in 2024 have continued to mature, and we are now in regulatory testing, supporting our OEM's expectation to be in production in 2025. Now a critical part of getting credibility in the automotive space is to demonstrate that you can translate your design wins into vehicles on the road. That means that your solutions meet the stringent quality and process criteria for automotive customers, but also have been hardened with vehicles on the road and that your technology is able to survive through that process. Tobii's interior sensing solutions have been shipping in vehicles on the road from 2019, and we've seen substantial growth in 2024. In 2024, the number of vehicles on the road with our solutions more than doubled. And now we have more than 600,000 vehicles on the road that are shipping with Tobii's solutions. This continues to demonstrate our capability as a supplier and will build confidence for new customers to choose our solutions going forward. Now if we sum that up, where do we stand today? Tobii overall now counts 12 OEMs as customers of Tobii interior solutions. We have over 600,000 vehicles on the road that are shipping with our solutions today, and we have 150-plus models that correspond to the design wins that we have been awarded. With our capabilities both in DMS, which we expect to accelerate as we continue to build momentum and credibility, and our focus on single-camera DMS/OMS, we believe that the current position we have is clearly a top 3 player in the space. And we are well positioned to become a leader as the market evolves from traditional DMS and OMS into future technologies like single-camera DMS and OMS in the upcoming years. Now let's wrap up the quarter. Q4 2024 was our best-ever quarter from an EBIT perspective, and I'm really happy that we were able to end '24 on a very positive note. I'm happy to see that per our expectations, the Products & Solutions business and the Integration business were able to deliver profitable results. And once again, this is very much in line with our expectation that our business units are at different levels of maturity and scale and the expectation for Products & Solutions and Integrations is that they will be profitable in the near term. I'm also very happy with how our Autosense business unit has performed in 2024. We have been able to largely finish the integration of the business. As Magdalena pointed out, the revenue from this business reached the high end of the scale. We've seen substantial increases in the number of vehicles on the road with our technologies. We've seen new design wins being awarded, and I'm very happy with the progress that we've made with customer programs that will go into production in 2025 and 2026. While we've continued to deliver on these, of course, we've also maintained our commitment to our cost reduction program. As Magdalena mentioned, we are on track to the program that we announced in the summer of this year. We continue to expect to see results from this cost reduction show up in our financial outcomes in the first half of next year. Now going into 2025, we expect to continue our focus on cost reduction. We expect that this program that we have been working on that will really show up in results through the first half of the year, we will see continued effects of that as well as new actions in the second half of 2025. In addition, we have completed the strategic review of Tobii's product portfolio with the intention to help us further focus and streamline the company and also with the ambition to divest certain areas in the company to help us strengthen our cash position. The actions we have taken thus far in 2024 across our businesses, the focus on cost reduction to help focus our company as well as the new actions we will take around divestment should help us build on the strong foundation we've put into 2024 to get us into a better position in 2025. With that, I'd like to open it up for questions.
A - Carolina Stromlid: Thank you, Anand and Magdalena. We will start with the questions posted in the chat. So let me start with the first question. Can you tell us more about XR and the smart glasses potential?
Anand Srivatsa: Yes. I think that when you look at the overall XR business, over the last couple of years, there has been a lot of dynamic changes in the market. What we have started to see right now is a shift in the marketplace from just VR alone into a stepping stone of smart glasses as the industry thinks about how they can get to full augmented reality. We certainly see this with companies like Meta that are building on products like the Ray-Ban, but there are other companies as well like XREAL and other smaller companies that are starting to show off what they can do with smart glasses. We believe that smart glasses are a great steppingstone technology where a lot of the ingredients are ready to go and deliver value to customers. We continue to believe that technologies like eye tracking are going to be a critical element of those solutions to really take advantage of what AI can bring into those kinds of form factors. So I think it's an exciting development for us in this space and, hopefully, a product that will really create excitement for users.
Carolina Stromlid: Thank you. Moving to the next couple of questions that comes from Daniel Djurberg at Handelsbanken. Nice with positive free cash flow target for full year 2025. What was the current free cash flow run rate entering 2025? How much cash will you need in '25 to secure for not only the repayment of the COVID tax grant of SEK 80 million planned for in Q3, but also for already made and planned cost reduction for 2025? A lot of questions.
Magdalena Andersson: Many questions. I think starting out because you had a statement in the beginning saying that we had a goal of positive free cash flow in 2025. We have goals on 2026. Our financial goals are on 2026, that we have a positive free cash flow in 2026 and an EBIT of 10% and an EBIT of 20% in 2028. The 2025 development will, of course, be one step towards that. So we see the development, of course, this year with a large negative cash outflow, as we've tried to explain, from the acquisition and that we have taken on a lot of costs, which we are not pressing out. But then the 2025 development will be a step towards the 2026 goal. But then if we try to sort of dig, was there any specific question in addition there, maybe?
Carolina Stromlid: Yes, the run rate for free cash flow, that was the question. What was the current free cash flow run rate entering 2025? And how much cash will you need?
Anand Srivatsa: Yes. I think that, again, I think what we shared for Q4 '24 was that our cash flow for the quarter was minus SEK 14 million compared to minus SEK 26 million the year before. Of course, cash management is a high focus for us in the company. It's been throughout 2024, as Magdalena said. Because of the acquisition, we knew the situation that we were going into. I believe that we've taken strong actions here with the cost reduction program that we announced early in the year, and we continue to work on additional tools. We've talked about the fact that we are going through a strategic review to look at our product portfolio and to evaluate divestments, which we think will also strengthen our cash position. We think that the tools that we have and the tools that we've put in place will be sufficient. But again, we are quite humble to the fact that we're in an uncertain market. And that, of course, may dictate some choices we have to make. But we believe that in these sets of tools, we will be able to manage our cash position to ensure that we can fund our organic business plan.
Carolina Stromlid: And the next question from Daniel is that given the ambition to downsize your cost base with SEK 200 million, how come that capitalization of development costs increased with SEK 45 million in Q4 and with SEK 149 million for the full year? Shouldn't the savings be visible here as well?
Magdalena Andersson: Yes, they should. But as we said, this year has been a peak in the Autosense investment, and that is what you see there with the capitalization. So this is also according to plan. But going into next year, we will continue to invest in Autosense. So there will be still capitalizations going into '25, but the peak was in 2024.
Carolina Stromlid: And a third question from Daniel Djurberg. How should we look at the ASP development in Autosense? Given the already strong customer base highlighted, including existing wins and new wins, how come that organic growth was only 13% and total revenue is as low as SEK 23 million? Should we expect a hockey stick in growth during 2025?
Anand Srivatsa: Yes, I'm not sure I recognize the organic growth statement here, but let's explain sort of where we are in the business. So again, I think if you look at sort of the revenue that Autosense delivered in the business, which was about SEK 22 million, SEK 23 million in Q4, that's substantial growth versus Q3 as well as the year before. Now a significant portion of the revenue that we've received in Autosense right now is related to nonrecurring engineering expenses. These are revenues that you typically get as you're part of a development program on the way to production. We, of course, expect that the bulk of the revenue that we will see in this business will be when the business transitions from this kind of revenue into license revenue, and we expect that to start happening in scale in '25 and '26 and beyond when we get into high-volume passenger cars. That's the work that we have ongoing right now. Now again, I think that I would refrain from terms like hockey stick, but as we've expected before, Autosense is a significant growth contributor to the future of Tobii. And I would say that as these systems get into production, that's how we're going to go and see sustainable long-term revenue and certainly higher growth from a revenue basis than where we are today.
Carolina Stromlid: And the next question is, will Tobii need extra cash until cash flow positive?
Anand Srivatsa: Again, I think we've answered this question in terms of our focus around cash management. We are taking actions on the space. We want to make sure that we have the tools that we need in order to manage our cash to get our organic business plan funded, and we've talked about those tools already in this Q&A session.
Carolina Stromlid: Over to a few questions from Erik Larsson at SEB. On the recently announced tariffs, does this have any impact on Tobii?
Anand Srivatsa: Yes, we expect that there are going to be some impacts on Tobii. Now keep in mind that some of the tariffs that have already been in China do impact us already now, have impacted us for several years since these Chinese tariffs have been placed from the U.S. The U.S. is a big market for our customers, including specifically for gaming and research. So some of those tariffs have already been something that affected us. There is going to be something that potentially affects us a little bit more as the tariffs have been increased in China, but we will evaluate what the impacts are of these tariffs and share more details in subsequent quarters as we really understand what those impacts will be because it's still a dynamic situation.
Carolina Stromlid: Can you remind us of your COVID tax liability and timing for the repayment?
Magdalena Andersson: Yes, we have in total -- we have 2 tranches, one, in total, SEK 229 million, but it's divided in 2 buckets. And the first one is repaid one part in July this year and the second part in the beginning of 2027. But the second part is in the beginning of 2026 and in the third quarter in 2027.
Carolina Stromlid: And Erik is also asking if there were any positive FX-related impact on your OpEx in the Q4 numbers.
Anand Srivatsa: No.
Magdalena Andersson: No. On the contrary.
Carolina Stromlid: Over to the next question. Did you receive any NRE from projects in the XR/MR space during the full year 2024?
Anand Srivatsa: Yes, we did. We have spoken in the past that we've had customer projects going in the space. We also announced a design win with Play For Dream, which is a Chinese VR headset maker that showed their product off at CES. So again, there are typically NREs associated with the design-in phase of these engagements, and we received some of that in '24 as well.
Carolina Stromlid: Over to the next question. Who is your main competitor in the auto space for DMS and OMS?
Anand Srivatsa: So again, we see the move to driver monitoring systems and occupancy monitoring systems as being very broad-based. Some of this, again, is also related to regulation as governments around the world are looking to see if you can identify child seats and where they're positioned or even are considering in the future things like whether passengers are wearing their seatbelts. So once this safety domain goes beyond just the behavior of the driver, whether the driver is paying attention to the road, the need for occupancy monitoring systems grows. And this, of course, builds on top of the convenience and comfort features that we've said that OEMs previously have been deploying these features for. So with that in mind, we think that almost all the players in the space have the ambition to deliver both driver monitoring and occupancy monitoring systems. But again, from a Tobii perspective, we are the clear leader here. We are the leader in deploying occupancy monitoring systems today. And we think that we are in pole position when you look at the most cost-effective way to deliver a combination of driver monitoring and occupancy monitoring systems, which is a single-camera implementation.
Carolina Stromlid: Yes. And on that topic, we have a more specific question. Is it correct that you see the automotive market moving to a single camera that combines DMS and OMS? Is the rearview mirror the perfect solution for this? And when do you plan to offer such a solution? I note that Volkswagen has launched this with features such as using a competing system from Seeing Machines.
Anand Srivatsa: Yes. We do think that, again, the single-camera type of solution, which will allow a smaller set of hardware to host both the driver monitoring and occupancy monitoring systems, if this can go through regulatory approval and meet the requirements of the EU standards, this is the cheapest way for the OEMs to go and deliver these kinds of system from a total cost of ownership perspective, but also from a complexity in terms of managing the complexity of the kind of designs that they're trying to get into their cars. The rearview mirror location is one of the good locations for this type of technology because, of course, from that location, you can both get a view of the driver, but you can also get a view of the full car. Now again, there are other players in the space that are looking at technologies like this. I think Volkswagen has announced solutions here, unclear exactly where the status of that in relation to shipping in the EU and meeting regulations. But we believe that our solution, if you look at what we are delivering both in terms of where we are in maturity as well as the number of features we enable, we think that we are very, very competitive and in pole position in the space.
Carolina Stromlid: Thank you. And we have a few questions live as well. We'll start with the first question from Daniel Thorsson at ABG.
Daniel Thorsson: So a question on the divestments here that you will initiate in 2025. Which areas could be up for sale? And what could that add in terms of cash injection in your view in '25?
Anand Srivatsa: Yes. I think as we mentioned, Daniel, we have done a strategic review. This is a pretty comprehensive review of our business. I think it's too early to talk about specific areas. But as we make more concrete progress, we'll share those details with you. Our expectation is that this should have a significant benefit to our cash position. But again, it's too early to comment on what those are until we progress further into these initiatives.
Daniel Thorsson: Can you say if it's included in the Products & Solutions or Integration segment or anything?
Anand Srivatsa: I would say that we have been comprehensive in looking at it, and I think we're not ready to share more details, Daniel, at this point.
Daniel Thorsson: Okay. Fair enough. And the second question on Autosense sales here of SEK 23 million in Q4. I think I agree with you, I think that was quite good uptick actually. Are there any one-offs in terms of milestones or signing fees from the deals to be aware of when entering Q1 and also '25? Or should this level continue ahead?
Anand Srivatsa: Yes. I mean I would say that, of course, from an NRE perspective, there are milestone elements here. But I would say that nothing here is out of the ordinary. We expect that as we go through these engagements with multiple customers, there are 2 types of elements that really drive NREs. One is, of course, milestones related to development objectives that are pretty well laid out, let's say, from the start of the program. The other one is what we call change requests. So as you go into the process where you look through the execution, there are realities of engineering that may require additional work that you're also able to go and get paid for. So again, while there's nothing strange about what we've received in 2024, the reality is that each program is different. So I would say that's the only consideration that we should have. We expect as we get more and more programs, this element will be consistent. There will be things that are NRE driven, that are programmatic. There will be change requests that come through for each of these different programs. The specific timing and elements of these, of course, do change on quarterly boundaries. This is similar to other businesses we've had. But our ambition is that the more programs we have and the more that they start getting into production, we'll start to see this revenue start to shift from NRE towards licenses. And that license business, of course, will become very, very predictable and a good margin contribution for us going forward. And the good news with the NRE is, of course, that's the precursor towards getting into that license business.
Daniel Thorsson: Yes, I see. That makes sense. And the final one on Autosense as well. Is there -- anything happened in the market recently or Q4, in particular, that make you feel different about the SEK 500 million in sales in 2028 either way?
Anand Srivatsa: Yes. I would say that, again, we have a lot of activities going on with RFIs and RFQs. I mean, if you look at the industry analyst commentary around 2024, there weren't a lot of decisions that were made in '24. You can sort of chalk this up to a variety of different things. There has been, of course, overall weakness and some industry consolidation in the automotive space that may have delayed some decisions. We, of course, don't control the timing of those decisions. But I would say that right now, our RFQ and RFI activity is quite high. The specific area, I think, for me in terms of confidence is, again, as we look at sort of the investment we've made in single-camera DMS/OMS, Magdalena mentioned that we were going through a peak in investment in 2024. We have developed that product. That product is now going into this OEM design-in program going through regulatory testing now. I'm really happy with the progress that we've made there. We look actually quite solid going into this time line now to support the start of production. For me, that progress happening as we expect is one of the big drivers of our confidence going forward because when we get to the other side to demonstrate that our solution is stable, robust, has a pretty broad set of offering and has gone through the regulatory requirement, it will make it much, much easier, of course, for new customers to pick our solution because we will have proven that delivering the solution all the way into vehicles on the road.
Daniel Thorsson: I just follow up with one on Products & Solutions. Can you say anything about geographical development in Q4 here? It's down year-over-year, but what was behind that?
Magdalena Andersson: It was no specific sort of -- no specific comment on regionals because it was weak. It was evenly weak, I can say.
Carolina Stromlid: Now over to the next question that comes from Peter McNally at Stifel Financial. No, I think he got dropped.
Anand Srivatsa: Well, I think that is the end of our questions. Again, thank you very much for participating in our Q4 results. As I mentioned before, I'm quite happy with a strong end to 2024. I think we're building a good foundation for us to go forward into '25 and meet our previously communicated financial targets, which Magdalena mentioned was free cash flow positive in 2026 with an EBIT of 10%. With that, I'd like to sign off. Thank you very much.
Carolina Stromlid: Feel free to contact us if you have any further questions. And thank you again for joining us today, and we look forward to see you again on May 7 for our Q1 results. Have a great Tuesday. Thank you.
Anand Srivatsa: Thank you.
Magdalena Andersson: Thank you. Bye-bye.